Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q3 2021 UFP Industries Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advise that today’s conference is being recorded. [Operator Instructions] I’d now like to hand the conference over to your speaker, Mr. Dick Gauthier, Vice President of Corporate Communications and Investor Relations. Please go ahead, sir.
Dick Gauthier: Welcome to UFP Industries’ third quarter 2021 conference call. Hosting the call today are CEO, Matt Missad; and CFO, Mike Cole. Matt and Mike will offer prepared remarks and then answer questions. This conference call is available simultaneously and in its entirety to all interested investors and news media through our webcast at ufpi.com. A replay will also be available at that website through Friday, October 22nd. Before I turn the call over to Matt Missad, let me remind you that today’s press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company’s expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in the filings with the Securities and Exchange Commission. I will now turn the call over to Matt Missad.
Matt Missad: Thank you, Dick, and good afternoon, everyone. We have been spouting superlatives for several quarters as the UFP team makes a positive habit of breaking records. The third quarter of 2021 fits sweetly into that pattern and exemplifies our 2021 mantra, we will win. The progress through the first three quarters has been spectacular and I am continually amazed of the UFP team. On our team, no one wants to be defeated and regardless of the obstacle or adversary, they just beat it. So in spite of a lumber market drop of nearly 50% from the end of Q2 and the resulting margin degradation from our variable priced items, the strength of our diversified business model, which includes diverse products and pricing models as well as diverse end markets brought us to record net sales and net earnings for the third quarter. Some quick highlights for the record books. Record net sales for the quarter were $2.1 billion, record PBOP for the quarter was $196.7 million, record gross profit dollars were $327.6 million, and record EPS was $1.93 per share. And the first three quarters of 2021 represent the best year in our company’s history for sales and profits. As we explore the segment results for the quarter, we will start with Retail Solutions. Overall, Retail unit sales were down 1% from 2020 and profits were down from the record set in 2020 as well. As you recall, the lumber market was rising in Q3 of 2020, and Retail customer takeaways exceeded expectations. 2021 was a different story as retail demand was soft early in the quarter and the lumber market continued to fall dramatically, so the ProWood treated products and the Sunbelt Spartanburg treated products were negatively impacted through the quarter. The higher lumber costs were absorbed in the quarterly profit numbers for the third quarter. Unfortunately, the Retail demand normalized in September and inventories are now more in line with the market. So we expect the fourth quarter for this business to be more typical. UFP-Edge, our siding, pattern, and trim business unit, will see more capacity come online in the fourth quarter and plans to expand sales when the capacity is available. UFP-Edge also plans to add additional manufacturing and coating operations in other parts of the country. Deckorators has become the product of choice among retailers in Canada and combined with U.S. awareness gives us confidence in the added capacity coming online in Q4 and in 2022, both in wood plastic composite and the padded mineral composite. Deckorators does continue to feel some of the impacts of higher resin and transportation costs as evidenced in Q3. Handprint, the home and décor business unit, continues to gain more sales volume with its cut-to-size product offering for building materials retailers. Outdoor Essentials has expanded its fencing range to include a variety of materials, including aluminum and composite. It’s planter boxes and pergola kits are also gaining traction. Sales continue to climb through our e-commerce work on customer portals and our e-commerce team is adding a distribution facility in Texas to help accelerate our deliveries to customers around the country. The overall outlook for Retail is positive as our big box customers have a positive forecast for consumer demand, both from DIY consumers as well as professional contractors. UFP construction unit sales increased nicely in Q3. In the site-built arena, strong single-family residential demand continues in the geographic markets we serve and multifamily remains resilient. The new products from recent acquisitions such as aluminum cladding and aluminum decks for multifamily and commercial projects have created opportunities in other geographic locations as we scale these new products. Our truss facilities are operating near capacity with available employees. We continue to recruit and hire to fill additional shifts where possible. Our factory-built unit also improved as strong demand continues. Factory built absorbed the market drop on inventory commodity items for our manufactured housing customers during the quarter. Yet, our team continues to invest in new product portfolio for the factory-built market; and in late Q3, the factory built team of UFP distribution closed on the purchase of Shelter Products in Alabama to expand its capabilities. Unit sales to commercial construction grew from a year ago. But more importantly, PBOP was again positive for Q3. Our Concrete Forming business will consolidate the Concrete Forming related lumber and panel products sold through the Retail Solutions segment and bring more focus on converting customers to designed, engineered, and manufactured solutions. Throughout the Construction segment, imported products for some projects have been delayed due to transportation and port issues. We are pushing for relief from regulatory restrictions, which limit transportation providers and cause unnecessary delays in the supply chain. We also note that engineered wood products are still in short supply, which encourages more customers to use our custom-built floor trusses or other alternative products. UFP Industrial grew unit sales through its acquisitions during the quarter. The focus on value-adverse commodity results in some sales loss, but better profitability. Also, new analytics help sales better identify true cost to ensure we receive a fair price for the goods and services we provide. The Industrial team is investing heavily in automation, material sourcing, and recruitment as they continue to enhance the solutions offered to the customer. The protective packaging runway is growing from a small base but has a pipeline of acquisition targets to serve as a beachhead from which to grow and scale. And our International Group posted excellent performance in the third quarter as Mexico continues to excel and Australia adds additional products to its mix. Other areas we are working on include better utilizing our size and strength as a company. We have seen the benefits of our purchasing team working effectively with each segment and leveraging the raw material spend. For 2022, we will extend this benefit to our MRO and supply spend. As we have added acquisitions, we haven’t yet taken full advantage of our buying power, and we believe there is at least $10 million in annual savings available to us. As we look at our human capital needs, one of our top priorities is attracting and retaining labor. We have seen an increase in applications after the extra unemployment compensation payments were stopped, yet we still need hundreds of individuals who are willing to work hard. We have instituted incentives for referrals by paying existing teammates to identify, recruit, and onboard those individuals who can be successful with us. Our HR teams and business operators have worked together to craft creative local solutions for the markets where our facilities are located. We are focused on training and creating opportunities for our teammates to move up in the organization. Our unique UFP Business School graduated its fourth class of business degree students in August, and the class of 2023 is full and has a majority of low-income individuals, females, and people of color. And we continue to share our success with our hourly production teammate who continue to do whatever it takes to serve our customers. They will be receiving a record $13.6 million worth of performance incentive payments based on the trailing 12 months performance. That brings the year-to-date 2021 total of bonuses and increased benefits to nearly $24 million. Of course, our strong focus on new products remains intact. New product sales increased to $196.8 million for the quarter and $600.2 million year-to-date, well in excess of the year-to-date budget. We have increased the breadth of products in each business unit, but we need to be even faster to vet and bring these new products to consumers more quickly. Of course, capital allocation is a key focus. We prioritize capital on strategic acquisitions, new products and services, expansionary and efficiency capital expenditures and return to shareholders. Acquisitions are a strategic growth initiative, as we pursue targets in each segment with an emphasis on scalable and synergistic new products or services, complementary value-added product and core competencies. The pipeline remains robust. We have increased capital commitments for expansion and automation and technology and expect that trend to continue. Our investment in the Innovation Accelerator is designed to speed and enhance the return on investment in new products. We also plan to return capital to our shareholders, including cash dividends, which the Board agreed to increase to $0.28 per share for the December 2021 dividend payment. We will also employ opportunistic share repurchases when appropriate. On a positive anecdote, based on the tremendous cash flow generation year-to-date, we have essentially covered the acquisition costs of PalletOne, Sunbelt and Spartanburg, and have a strong cash position as of the end of Q3. Now I’d like to turn it over to Mike Cole, who will provide more details on our financial performance.
Mike Cole: Thanks, Matt, and good afternoon, everyone. Our consolidated results this quarter are highlighted by unit sales growth of 13% and adjusted EBITDA growth of 49%, in spite of an unprecedented drop in lumber prices and softening of retail demand. Operating cash flow of $282 million, $97 million ahead of last year, a strong balance sheet with net debt to total capitalization of less than 9% and liquidity of $668 million, and a trailing 12-month return on invested capital of over 26%. Now I will review the financial statements in more detail starting with our sales by segment. As we anticipated, the Retail segment had to fight through a combination of lower lumber prices and demand compared to the unprecedented highs in 2020, as consumers shifted spending this year when pandemic-related restrictions were lifted and the economy reopened. Consequently, organic unit sales dropped 19% in retail. This decline was offset by the acquisitions of Sunbelt and Spartanburg, which contributed 18% to unit growth, resulting in a total unit decline of 1%. The organic unit decline was most impactful in our ProWood business unit, which reported a 27% decrease. We remain confident to demand in this market will normalize in the near-term for a variety of reasons and when combined with our initiatives to increase market share, we believe retail will be a strong contributor to our future long-term growth. Sales to the Industrial market increased 103% and consisted of a 69% increase in selling prices as we sold through our higher priced inventory and as we continue to improve our value-added product mix and maintain pricing discipline. Our unit sales increased 34% as a result of our PalletOne acquisition. Organic unit growth was flat this quarter due to capacity constraints like the availability of labor and long lead times on equipment and as we continue to be selective in the business we take in order to focus on higher margin value-added products. This sales strategy resulted in a strong improvement in gross profits, which I will review shortly. Market share gains from new customers, new locations of existing customers and new products contributed $28 million, $19 million and $20 million, respectively, to our sales this quarter. These gains were offset by the loss of unit sales to less profitable accounts. Finally, our sales to the Construction segment increased 62%, consisting of a 43% increase in selling prices and 19% unit growth, including a 3% contribution from acquisitions. Organic unit growth was driven by a 26% increase in commercial, 23% in site-built housing and 17% in factory-built housing. Demand in our backlogs of business in the Construction segment continue to be strong, which we expect will continue. Capacity constraints remain a challenge in this segment as well. Moving down the income statement, our third quarter gross profits increased by $86.5 million or 36%. By segment, Retail decreased by $95 million, primarily driven by our ProWood, Sunbelt and Spartanburg operations. As I mentioned last quarter, we expected that our commodity-based products sold on a variable price would be adversely impacted by the decline in lumber prices we anticipated during the quarter. The decline in unit sales also adversely impacted our production cost per unit. Fortunately, the increases we expected in Industrial and Construction also occurred, and these segments contributed $78 million and $92 million, respectively, to our gross profit growth. Each of these segments, which primarily saw value-added products sold on a fixed price benefited from the drop in lumber prices. Organic growth and operating leverage also contributed to the gross profit increase in Construction, while favorable changes in product mix contributed to the increase in Industrial. Acquisitions added $22 million to Industrial gross profits and $1 million to Construction. Our Retail segment lost $7 million of gross profits on our Sunbelt and Spartanburg operations due to the drop in lumber prices. Continuing to move down the income statement, our SG&A expenses increased by almost $35 million, consisting of $14 million from recently acquired businesses and $11 million increase in incentives and an $8 million increase in wages and benefits. The remaining increase is primarily related to higher travel costs. Sequentially, our SG&A dropped from $185 million in Q2 to $170 million in Q3, primarily due to a decrease in bonus expense. Finally, our operating profits increased nearly $62 million, which was comprised of a $48 million increase in Industrial, a $68 million increase in Construction and a $10 million increase in International, offset by an $88 million decrease in Retail. Acquisitions contributed to operating profit of $14 million to Industrial and a loss of $12 million to Retail. Moving on to our cash flow statement, our cash flow generated from operations for the year was $282 million and consisted of net earnings and non-cash expenses totaling $474 million, compared to $245 million last year and $192 million increase in net working capital since year end, compared to a $60 million increase in the prior year. We anticipate further decreases in working capital through the balance of the year assuming lumber prices remain at current levels and as we move into what is typically a slower time of the year for most of our business units. We measure our cash cycle to assess our working capital management. It increased to 57 days this year, compared to 43 days last year, primarily driven by an increase in our days supply of inventory due to lower retail demand than our customers anticipated for our inventory planning. Our investing activities included capital expenditures totaling $110 million, including expansion and efficiency CapEx of $60 million. We’re now planning for total capital expenditures for the year of $147 million. Notable projects include expanding our capacity to produce our mineral-based and wood plastic composite decking products and our UFP-Edge siding pattern interim products, expanding our machine-built pallet capacity and taking advantage of automation opportunities. We also invested $433 million on previously announced acquisitions. Lastly, our financing activities included $28 million of dividends paid this year at a rate of $0.15 a share, a 20% increase in the rate over last year. And our Board approved an increase in our fourth quarter dividend to $0.20 a share, reflecting our confidence in the business outlook. With respect to our balance sheet, at the end of September, our total debt net of cash was $182 million and our total liquidity was $668 million, consisting of cash of $128 million and $540 million in availability under our revolving credit facility. We expect further reductions in our net working capital investment as we work through the balance of the year, resulting in favorable cash flows. The strength of our cash flow generation and balance sheet provides us with plenty of capital to grow or to return to shareholders. Our highest priorities for capital allocation are currently capital expenditures and business acquisitions based on opportunities and the strength of potential returns we see. That’s all I have in the financials, Matt?
Matt Missad: Thank you, Mike. Now I’d like to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Ketan Mamtora with BMO Capital Markets. Please go ahead.
Ketan Mamtora: Thank you and good afternoon and congrats once again, Matt and Mike.
Matt Missad: Thank you, Ketan.
Mike Cole: Thank you.
Ketan Mamtora: The first question, starting off on the composite decking side, can you talk about the demand trends that you are seeing there, like, I see that in the third quarter, the organic volumes were down 14% year-over-year. Can you talk about what you are seeing on the demand side?
Matt Missad: Yeah. I think the demand is still very strong, Ketan, in terms of our manufacturing facilities. They are both at capacity and they’re both sold out now through the end of the year. So, I think the future on that still looks good from what we can see and in conversations with our Retail customers. They are still very bullish on both wood plastic composite and especially the mineral-based composite.
Ketan Mamtora: Okay. And so what drove the year-over-year drop in demand in the third quarter, was it seasonal element or is it sort of people just being out for vacations, I am just curious?
Matt Missad: Yeah. I think some of it was just -- if you talk -- what we talked about at the end of the second quarter was perhaps that some people who had been basically kept at home for a year and a half took time off and spent money on vacations and other things that they couldn’t do for that period of time. I also think there may have been more inventory in the pipeline earlier in the year because of ordering. So, the big boxes had plenty of stock, and so that may be part of the decline in the third quarter as well.
Mike Cole: I think that’s right. I’d point out that year-to-date, so for the full nine months, Deckorators is up 14%, I believe, on a unit basis.
Ketan Mamtora: Got it. And so at this point, you think sort of inventory in the channel has come down to more normal levels on the composite decking side?
Matt Missad: Yeah. I really can’t speak to the whole composite space, but I can only speak to our portion of that space. And I think based on the demand that we’re seeing and the fact that we have orders through the end of the year and extending beyond that, that bodes well for us.
Ketan Mamtora: Got it. That’s helpful. And then turning to the site build, maybe talk a little bit about kind of what you are seeing in terms of demand and are there any particular areas or regions where you are seeing more strength versus the others?
Matt Missad: That’s a good question, Ketan. And again just as a reminder, we don’t have facilities all over the country. We tend to be more regional, so the Southeast, Texas, Colorado and non-urban Northeast is where we’re located. Those areas all seem to be very strong. Demand is strong. Our facilities are running at capacity. As I mentioned, for as much capacity as we can produce given the number of employees we’re able to obtain. I would say that the typical seasonality would occur in, say, Upstate New York. We would expect that to happen. But other than that, again, demand is very strong and order files are well out into the future.
Ketan Mamtora: Got it. That’s very helpful. I turn it over. Good luck in the back half of the year and into 2022.
Matt Missad: Thank you, Ketan.
Operator: Thank you. Our next question will come from Stanley Elliott with Stifel. Please go ahead.
Stanley Elliott: Hey, everybody. Thank you all for taking the questions and also thanks for the additional information in the release. Very, very helpful. Can you talk a little bit about what you’re seeing from your customers with the supply chain? Do they have any thoughts on when all of this might get cleared up? And is there any way to frame kind of what sort of impact it’s actually having on your business now on either the Industrial or even the Construction side?
Matt Missad: Yeah. That’s a great question, Stanley. And I think you probably get just about the same number of answers as the number of people you ask that question to. The conversations that I have had with our customers is there are certain products that just don’t seem to be freeing up anytime soon and there’s others where they see the light at the end of the tunnel. For us, since most of our products are manufactured domestically, that tends to help us. But our customers that are waiting on parts, are waiting on electronic devices or chips or other things like that, it’s a kind of a wait-and-see game. One of the positives though that I think has happened is that, it’s going to extend this period of what I will call recovery, because they haven’t been able to build everything that they wanted to build and the demand still appears to be there. So the demand should continue on maybe at a slightly lower level than historical, but still very good for us.
Stanley Elliott: Perfect. And then the new products that you guys have, I mean, you’ve blown through your initial target already, very strong. What has changed in the process, whether it’s the development as a consumer feedback on the front-end? Just trying to get a better feel for why you’re having such great success there?
Matt Missad: Yeah. I really have to give credit to the team. All of the different business units have really put a focus on driving new products and driving new services. They’ve made investments in it and we all know how important it is to our future to come up with new things. So they’ve really done an incredible job of embracing that and turning it into real positive gains. I think in terms of some of the sales dollars, just keep in mind that some of those items that are in there do have a higher cost number in them, so that may give a slight head weight to the dollar amount.
Stanley Elliott: Okay. Fair enough. And then lastly for me, nice boost on the dividend, I apologize if you feel set on another call. How should we think about that in terms of, is there a percentage that you’re targeting payout wise versus net income or any sort of metric to think about?
Matt Missad: Yeah. I think for us, it’s really just about making sure we balance the return to shareholders kind of currently where the long-term growth value. So I don’t think we’ve really set a specific target that we’re looking at. But, Mike, you can add some color to that as well…
Mike Cole: Yeah
Matt Missad: …from a capital standpoint.
Mike Cole: At the annualized at $0.80, that’s 13%, 14% payout ratio of net earnings, very comfortable. We also looked at yield to some extent and yield based on where we think a reasonable valuation for the company would be. So those are the metrics we look at and $0.80 was a nice increase for and one we can support very easily going forward.
Stanley Elliott: Absolutely. Thanks guys very much. Appreciate it and best of luck.
Matt Missad: Thank you.
Mike Cole: Thank you.
Operator: Thank you. Our next question will come from Reuben Garner with The Benchmark Company. Please go ahead.
Reuben Garner: Thank you. Good afternoon, everybody.
Matt Missad: Hey, Reuben.
Reuben Garner: Maybe starting or going back to the Retail side for a second, a couple of follow-up questions. So, one, I think it was pretty widely reported that there was maybe, at least on the DIY side, a slowdown earlier on in the quarter. More recently, pricing seems to be moving higher. Have you seen trends on the demand side improve or do you think that that the inventory situation just kind of balanced out and now it’s just kind of normal course of business or is it supply chain driving the prices up? What do you think is -- has or can you just talk about maybe the last four weeks or five weeks or six weeks relative to what you saw earlier in the quarter?
Matt Missad: A lot of questions in one statement. I am going to say…
Reuben Garner: Yeah. Sorry.
Matt Missad: … all of them. So as we look at it, I think, you’re absolutely right. I think that the slack demand in kind of early Q3 has moderated and now I think it’s kind of back to what we see as more normal. I do think there was excess inventory in the supply chain. I know there was some shutdowns by mills for maintenance and other things, so very, very judiciously used and probably the right thing for them to do. And again, I think, we see -- still see a good demand. There probably are some transportation related impacts that certainly would encourage people to make sure they have inventory on hand. But I think everything’s kind of balanced out and if I -- as I mentioned in my remarks, if we kind of look at the fourth quarter, I’d expect it to be a little more typical for previous years.
Reuben Garner: Perfect. And then on the Industrial side, is it too early to see the benefits of cross-selling there with the PalletOne acquisition? I know volume, you mentioned, kind of focusing on the value-added, so the organic growth is not maybe -- it’s not maybe easy for us to tell. What -- if that hasn’t happened yet, when can we expect kind of some of those benefits to flow through, would that be more of a 2022 event?
Matt Missad: Well, actually, Reuben, I actually think there’s a fair amount of that already happening. There are customers -- common customers that we’re sharing that are now being served in a wider area of geography through our previously existing UFP locations and vice versa. I think, we obviously aren’t quantifying that in a public format, but the benefits are already there, and yes, we would hope those continue to grow in the coming years.
Reuben Garner: Okay. And then last one for me and if you gave this, apologies, but the two questions on the gross profit line. Can you provide us with what the write-down was, if there was one, in the quarter on the treated lumber side? And then, secondly, what the contribution was from the acquisitions on gross profit? Just trying to get to what the kind of underlying organic gross profit improvement was even though your organic volume was down.
Matt Missad: Yeah. The -- for the first one, Reuben, the lower of cost or net realizable value reserve at the end of the quarter. I think we did less than $2 million. So we had worked through that inventory pretty effectively for the quarter and we’re in pretty good shape. And at the end of the quarter, I think that $2 million was primarily in the Sunbelt and the Spartanburg operations. And then with respect to acquisitions, acquisitions added $22 million to Industrial in terms of gross profits, $1 million to Construction and then Retail loss of $1 million. The Sunbelt and Spartanburg operations had a gross profit loss for the quarter.
Reuben Garner: Okay. Great. Thank you, guys.
Matt Missad: Thanks, Reuben.
Operator: Thank you. Our next question will come from Julio Romero with Sidoti & Co. Please go ahead.
Julio Romero: Hey. Good afternoon, Matt and Mike.
Matt Missad: Hi, Julio.
Mike Cole: Hi, Julio.
Julio Romero: So, Matt, you called out several margin levers below earlier in your remarks, I think, you talked about automation, pricing, rationalization and procurement. Can you maybe rank order some of those initiatives and talk about which one you think might have the greatest opportunity?
Matt Missad: Well, clearly, the automation one will help, because it’s not only does it help on the efficiency side, but it also helps on the labor shortage side. So the challenge with that is equipment manufacturing is obviously they’re at capacity, so it takes a lot longer to get to that particular level -- leverage, excuse me. But I would say the other part the rationalization on the customer front with analytics and other things is an ongoing process and that has brought in probably more immediate results, which you’re seeing in some of the numbers, particularly in the Industrial Group. So, I think, those are how I would rank them today. But I think long-term we would expect more with the automation and efficiency gains.
Julio Romero: Got it. And that kind of dovetails into my next question is, the rationalization improvements you’ve made on Industrial, what inning are we in there or much more do you have to go in Industrial?
Matt Missad: Yeah. I would tell you, I am really proud of the Industrial team. They’ve done a terrific job there. They really embrace working together across the company since we restructured and they have really done a great job of sharing customers and expanding our reach there. So I know what they would tell you is they’re not even close to being finished yet. They’ve got a long way to go. But we continue to see very positive results from that.
Julio Romero: Understood. And then last one for me and I will pass it on is, just given the current lumber environment, how conducive do you think that is to your inventory restock for 2022?
Matt Missad: That’s a great question. I don’t really have a good crystal ball on that one. But as I mentioned, I think, it’s going to be a little more typical at least based on what we’re seeing today. So we don’t know kind of what the future holds in terms of what the mills are going to do. But we’re comfortable with where the market is and our position today.
Julio Romero: Thanks for taking the questions.
Matt Missad: [Inaudible]
Operator: Thank you. Our next question will come from Jay McCanless with Wedbush Securities. Please go ahead.
Jay McCanless: Hey. Good afternoon, guys.
Matt Missad: Hi, Jay.
Mike Cole: Hi.
Jay McCanless: So the first question with the SG&A roughly $170 million this quarter, is that a good run rate to use going forward, especially since some of the lumber -- I am assuming that the lower lumber prices is the reason the commissions were down sequentially?
Mike Cole: Yeah. I think it is a reasonable run rate as long as you peel out the bonus impact of it, Jay. I don’t have the bonus numbers here off the top of my head, but the SG&A was very comparable pulling out bonus from Q2 to Q3, so I think it is a pretty good run rate for Q4. And then as we had mentioned before, bonuses at about 20% of pre-bonus operating profit is the right rate to use.
Jay McCanless: And then nice to see the growth in Commercial. I mean, do you think that was just an easy comp or do you feel like you actually gained some business? And maybe, we’ve heard some other companies talk about comparisons to 2019. I mean, how -- and I understood if you don’t have it in front of you, but answer the first question around, is it easy comp, is it real growth and then maybe how did that number compare to 2019?
Matt Missad: Yeah. That’s a good question, Jay. I don’t have the 2019 numbers, but I will tell you, I don’t believe there’s been anything that’s easy for that UFP commercial team and they’ve really done a terrific job of kind of building back and what they’ve been able to accomplish is really driving sales. And for them, customer analytics and rationalization of projects has been a big key. They’ve got a long way to go there, but they’re making really good progress.
Jay McCanless: Okay.
Matt Missad: Jay, as you mention, bonus expense for the quarter was $44 million, by the way.
Jay McCanless: Okay. Great. And then, Matt, not to beat a dead horse, but Reuben kind of stole my lumber question, so maybe ask it different way. We’ve seen both framing lumber and Southern Yellow Pine come pretty strongly off the lows it’s at during the summer. Do you feel like the mills and some of the expansion that we’ve heard that’s going to happen in 2022, do you think the easiest way for prices to go is up now or I know you said something also about some transportation snafus, I guess, maybe which one do you think looking far ahead, which one’s going to win, is it going to be the snafus or these effects has capacity going to keep lumber from going too high this coming year?
Matt Missad: Yeah. I think the capacity coming online will definitely help moderate it. I think one of the things that probably we should keep in mind is the amount of consolidation on the mill side over the last 10 years or so. So that the common ownership they have been much more diligent about managing their returns and so there are times when they will take production off line if need be, which may or may not be typical from a historical perspective. I don’t know what the sweet spot is for them or what that price point looks like. But right now, I think, we’re in a fairly decent balance. And if I look at our business, the demand still is strong and stable, so that probably bodes well for the market. I don’t know what other downward pressures might be out there.
Jay McCanless: Okay. Great. That’s great. Congrats on a good quarter. Thanks for taking my questions.
Matt Missad: Thanks, Jay.
Operator: Thank you. And we do have a follow-up question from Reuben Garner with The Benchmark Company. Please go ahead.
Reuben Garner: Thanks, guys. Just one quick one on Deckorators, just to clarify, Matt. So you sold out, I think, you’ve said through the end of the year, when investors are looking at the volume being down year-over-year. Last year was there any, I guess, sell in to new business or I guess draw down of your existing inventory that made that year ago number unusually high. And I guess as we move into Q4, I think, you’ve -- you said things have normalized, maybe does that mean we would expect to see volume growth again or you grow with the market in the fourth quarter? Thanks, guys.
Matt Missad: Yeah. That’s a great question, Reuben. And I guess the best way that I can look at this, I try to look at the Deckorators business on an annualized basis, because there’s quarter-to-quarter variations and swing. So, a lot of the production-related issues for us is the capacity as we reached maxed out capacity. I know we can’t produce more to sell it. I can’t really tell you for sure what our inventory positions were back in Q1 of 2020. But over the course of the year, I think, that all kind of balances out as Mike pointed out, that the sales are up. We would still expect there to be continued unit growth for 2022. But it might not track perfectly well with the quarters, depending on what the big box positions are, what other retail positions are in their own inventories.
Operator: Thank you. I am showing no further questions in the queue at this time. I would now like to turn the call back over to management for any closing remarks.
Matt Missad: Well, thank you and thank you for your time today. As we look ahead, our list of opportunities continues to grow. Each business unit is expanding its product offering to bring better solutions to its customers and each UFP teammate is expanding their skill and knowledge to enhance their careers with us. We believe these factors will continue to drive new records in the future and ensure that we will win. Thank you and have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.